Operator: Good morning, and welcome to the Emerson Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to your host, Colleen Mettler, Vice President of Investor Relations at Emerson. Please go ahead.
Colleen Mettler: Good morning, and thank you for joining Emerson's Third Quarter 2025 Earnings Conference Call. This morning, I am joined by President and Chief Executive Officer, Lal Karsanbhai; Chief Financial Officer, Mike Baughman; and Chief Operating Officer, Ram Krishnan. As always, I encourage everyone to follow along with the slide presentation, which is available on our website. Please turn to Slide 2. This presentation may include forward-looking statements, which contain a degree of business risk and uncertainty. Please take time to read the safe harbor statement and note on non-GAAP measures. I will now pass the call over to Emerson's President and CEO, Lal Karsanbhai, for his opening remarks.
Surendralal Lanca Karsanbhai: Thank you, Colleen. Good morning, everyone. I would like to begin by thanking the global Emerson teams for delivering yet another strong quarter. With the support of Emerson's Board of Directors, we are energized by the company we have created with highly differentiated technology, serving a diverse set of industries and customers and a compelling value creation proposition for investors. Please turn to Slide 3. In May, we hosted approximately 3,000 attendees from 51 countries at Emerson Exchange, where we showcased how Emerson is accelerating innovation to lead the future of automation. Innovation is integral to Emerson. And 3 key product developments demonstrate the notable progress we are making to advance our world-class industrial software portfolio. First, we announced a strategic collaboration with TotalEnergies, a significant milestone in realizing Emerson's boundless automation vision with our new enterprise operations platform. Building on a nearly 30-year relationship Emerson will deploy our industrial data fabric to continuously collect, store and contextualize millions of real-time data points from TotalEnergies facilities providing secure and unified access to data across the organization. The digital infrastructure, which also includes Emerson's advanced process control solutions, will enable TotalEnergies to optimize operational performance and accelerate AI implementation. This data fabric technology is foundational for Emerson's enterprise operations platform. The industry-first software-defined OT ready digital platform that seamlessly integrates and optimizes industrial operations. Next, we released the Ovation AI-enabled Virtual Adviser which is the first Gen AI adviser integrated into a control system for power generation. The Ovation Virtual Adviser as part of Ovation 4.0, enables advanced power plant diagnostics using Microsoft Azure OpenAI to increase productivity and operational awareness. This highly differentiated solution is driving strong traction with over 80% of upcoming modernization projects involving an upgrade to Ovation 4.0. For example, Ovation was selected by Entergy to automate power generation at 2 greenfield combined cycle power plants. Entergy today provides electricity to 3 million customers and is expanding in Texas and Mississippi with 2 754-megawatt generation facilities. Emerson was chosen for our leading technology, local presence and enterprise scalability across multiple sites. Third, Emerson unveiled Nigel AI adviser in its market-leading test software. This innovation is the company's first step in integrating test optimized AI technology into its trusted LabVIEW portfolio will aid engineers in unlocking the full potential of our world-class software tools to address the increasing complexity of test and measurement across industries like semiconductor, transportation and electronics. Nigel can analyze, code and provide recommendations for improvements when developing and executing tests through plain language prompts, enabling engineers to focus on their own innovation and business goals. Please turn to Slide 4. Investments in automation continue to drive resilient demand in Emerson's process and hybrid markets as customers seek to modernize and improve their operations. The discrete recovery progressed further, particularly in test and measurement markets. North America, India and the Middle East and Africa have been strong. And we expect these regions to remain growth drivers with sustained investment across LNG, power and life sciences. Our industrial software, ACV again grew double digits over the prior year and ended the quarter at $1.5 billion. Underlying orders grew 4% and led by Test & Measurement, up 16% and with our process and hybrid businesses again up mid-single digits. MRO remained strong at 62% of sales with software and cybersecurity upgrades driving increased activity in long-term service agreements. The dynamic tariff environment persisted and our exposure was less than expected in the quarter. As the quarter progressed, we decided to ease the scope of surcharges, which meaningfully impacted our third quarter sales growth. Underlying sales growth was 3%, and we delivered excellent profitability. Emerson's adjusted earnings per share of $1.52 met the top end of our guide and better-than-expected free cash flow generation led to a 21.3% margin. Mike Baughman will provide additional color on the results in a few slides. Our teams are committed to completing a strong 2025, and we are pleased to see the turn in our discrete end markets. In the fourth quarter, we expect underlying sales growth of 5% to 6%, driven by further improvements in Test & Measurement and sustained growth in our process and hybrid businesses. We project adjusted segment EBITDA margin of 27%, higher than previously planned due to the impact of lower tariff exposure with adjusted EPS of $1.58 to $1.62. As we look forward to fiscal 2026, we expect strong exit rates for underlying orders to support underlying sales within our growth framework. Additionally, we will be hosting an investor conference on November 20 in New York City. We look forward to talking about our transport portfolio and a differentiated value creation framework. More details will be communicated as we approach the conference. Please turn to Slide 5. Emerson's demand outlook remains healthy. As expected, underlying orders in our process and hybrid businesses grew mid-single digits in the quarter and are expected to maintain similar growth in the fourth quarter. The secular need for energy security and affordability is leading to significant activity in LNG across the globe and increasing electricity demand in the Americas and Asia is driving robust activity in power. For example, underlying orders in our Ovation business were up 40% in the quarter. and we expect to end the year up over 20%. We are also seeing strong demand in Life Sciences with customers investing in biomedicines and GLP-1 drugs. The capital cycle remains constructive, and we continue to see new investments, replenish projects booked from our $11.2 billion funnel. Underlying orders in our discrete businesses were up 6% in the third quarter, led by Test & Measurement, which was up 16% due to robust growth across all world areas. The recovery in these markets is building momentum, and we expect underlying orders growth in test and measurement to approach 20% in the fourth quarter, supporting double-digit order rates in our discrete businesses as we exit the year. Emerson has now posted 2 consecutive quarters of mid-single-digit underlying orders growth. In July with a strong start to the fourth quarter, the trailing 3-month underlying orders growth of 6%. As we exit the year, we expect underlying orders growth between 5% and 7%. Please turn to Slide 6. Our view for full year 2025 underlying sales remains similar to what we communicated in the May earnings call. Demand trends are favorable and support our fourth quarter outlook for underlying sales growth to accelerate to 5% to 6%. We expect fourth quarter underlying sales for our process and hybrid businesses in the mid-single digits, driven by global investment in LNG, power and life sciences. Our discrete businesses are expected to be up double digits in the quarter, reinforced by the recovery in Test & Measurement, which is expected to be up sharply with growth in the high teens. In the Americas, we expect broad-based strength in North America MRO and greenfield projects. We plan to see growth accelerate in Europe led by energy security and modernization projects, coupled with recovery in discrete markets. Robust investment is expected to continue in the Middle East, India and Southeast Asia, and we expect China to be up slightly, supported by power and marine with improving business fundamentals in Test & Measurement markets. We continue to see strength in customer adoption of our subscription software and expect double-digit ACV growth for the full year. Notably, ACV in AspenTech's digital grid management grew 26% in the third quarter with strong momentum across North America and Europe. Please turn to Slide 7. The tariff environment continues to be dynamic. Emerson's annualized gross incremental tariff impact is now approximately $210 million, which is down from our prior estimate of $455 million given the recent announcements. In the fiscal year, we are now expecting a gross tariff impact to be $130 million versus our prior estimate of $245 million. After our May earnings call, the tariff environment improved as announced tariffs were paused and deals were reached with a number of trade partners. Subsequently, due to the improved tariff environment and in consideration of our customers, we decided to ease a number of the surcharges we had in place. We now expect approximately $115 million of price actions for the fiscal year, which equates to 50 basis points of incremental price. This is a 0.5 point reduction versus our prior guide. We have implemented all the price actions and supply chain mitigations to completely offset the impact of this exposure. Now I'll turn the call over to Mike Baughman.
Michael J. Baughman: Thanks, Lal. Please turn to Slide 8, where I will discuss our third quarter financial results. Underlying sales growth was 3%. And Growth was led by our resilient process and hybrid businesses, which were up 3.5%, and our discrete businesses collectively turned positive, up 2% year-over-year. Price contributed 2.5 points in the quarter, less than previously expected due to easing some surcharges. Our sales fell short of guidance driven primarily by this dynamic. Underlying growth was 7% in the Americas and 2% in Asia and the Middle East and Africa, while Europe was down 7%. Software and Control grew 2% and Intelligent Devices was up 3%. Backlog increased to $7.6 billion, and our book-to-bill for the quarter was 1%. Sequentially, backlog was up 2% in both our process and hybrid and discrete businesses. Adjusted segment EBITDA margin of 27.1% met expectations and was negatively impacted by 40 basis points due to tariffs, which primarily affected profitability in Intelligent Devices. We had strong profit contributions from software and control, including synergy realization at AspenTech and Test & Measurement. Operating leverage was 25%, and excluding the impact of tariffs, operating leverage was 38%. Adjusted earnings per share in the quarter of $1.52 grew 6% year-over-year, and I will discuss this in more depth on the next chart. On a year-to-date basis, adjusted earnings per share of $4.38 is up 9%, with strong operational performance, contributing an incremental $0.45. Finally, Emerson generated better-than-expected free cash flow of $970 million, resulting in a margin of 21.3%. The cash flow performance was led by higher earnings and improvements in working capital. Year-to-date, free cash flow is up 20% versus the prior year and at a margin of 18%. Please turn to Slide 9. Emerson executed well again in Q3. Operations added $0.09 versus the prior year adjusted earnings per share of $1.43. Software and Control added $0.06 and Intelligent Devices added $0.03. The AspenTech buy-in was slightly accretive in the quarter, driven by synergy realization. Nonoperating items netted to 0 as share count and other favorability offset a $0.02 headwind from FX and a $0.02 headwind from pension. Overall, adjusted EPS grew 6% year-on-year to $1.52. Please turn to Slide 10 for additional details on our fourth quarter and full year 2025 guidance. We expect fourth quarter underlying sales growth of 5% to 6%, supported by a meaningful acceleration in Test & Measurement, sustained healthy pace of business in our process and hybrid businesses, a strong backlog position as we enter the quarter and expected incremental tariff-related revenue. Adjusted segment EBITDA is expected to be approximately 27%, up 80 basis points over the prior year with operating leverage of approximately 40%. With this, we expect to land adjusted earnings per share between $1.58 and $1.62, a strong year-over-year growth of 7% to 10%. For the full year, we expect underlying sales to be up approximately 3.5%. Price is now expected to contribute approximately 2.5 points of growth versus 3 points in the prior guide due to decreased tariff exposure, resulting in lower surcharges. We are increasing adjusted segment EBITDA margin guidance to approximately 27.5% with operating leverage of approximately 70%. Adjusted EPS is increased at the midpoint to approximately $6 per share. Free cash flow was also increased to approximately $3.2 billion resulting in a margin of approximately 18%, which includes $200 million of transaction-related headwinds. With that, we will now turn the call over to the operator for Q&A.
Operator: [Operator Instructions] And the first question is from the line of Jeff Sprague with Vertical Research Partners.
Jeffrey Todd Sprague: I thought you were going with [ Geoffrey ] for the AI adviser. Could we just maybe just sort of touch on the margins again and sort of intelligent devices in particular. So I kind of get the tariff math, but dollar sales were actually up in the quarter sequentially and dollar profits were down sequentially. So can we just unpack that a little bit? Were you technically behind on price cost relative to tariffs in the quarter and expecting to catch that up in Q4 or maybe there's something going on in mix or else otherwise?
Surendralal Lanca Karsanbhai: Yes. Jeff, thanks for the question. The Intelligent Devices, you're right, 24.4% and 25% with the adjusted EBITDA margin down about 1.1 points. And there was a meaningful impact of tariffs, which we expected, but there was also a meaningful impact with FX included in there that really wasn't expected that drove that down. When you take those 2 out, it's up 20 basis points. The other thing to bear in mind is that the tariffs largely hit that group. There isn't nearly as much tariffs in Control Systems and Software. So that's where you see all of that tariff math reading through for the most part. There's some in the other, but it's primarily there. So the unexpected piece was the FX, which is FX, to be clear, of balance sheet exposures that then get mark-to-market and that is in the segment EBITDA margins.
Jeffrey Todd Sprague: Yes, great. Thanks for clarifying that. Yes, I was surprised that FX was a headwind on that bridge given you got a translation positive, but the hedge is working through. Understood. And then maybe just on Test & Measurement, the inflection that you're seeing there, how would you kind of characterize vertical markets that might be driving that? Is it broad based? Is it concentrated in a few areas, if there's any geographic color to add, I'd be interested in that also.
Surendralal Lanca Karsanbhai: Yes. No, I'll comment, Jeff, and I'll let Ram add as well. No, we saw a very broad-based recovery across all segments, in all world areas in Test & Measurement. I would suggest that the most encouraging segment recovery has been in the portfolio business, which is the vast array of thousands of customers with a diversified end market basis and gives us the best indication of the recovery in the market. But in addition to that, aerospace defense continues to remain strong as it has been for a number of quarters now, but the recovery in semiconductor and of course, easy comparisons in automotive made it possible to have a positive order number across all 4 of the segments. Ram?
Ram R. Krishnan: Yes. And just to add to that, from a world area or region of the world perspective, Asia being the strongest they went down first, so they're recovering, rebounding very strong. China has been actually very good in terms of recovery as well, followed by North America and then Europe. So I think as Lal said, every segment and every world area is strongly positive.
Operator: The next question is from the line of Steve Tusa with JPMorgan.
Charles Stephen Tusa: Can you just maybe talk about how you saw the quarter play out? I think you guys said the orders in April were up 7%. And I think you may have exited at a bit of a lower rate, maybe May was weak and June came back? Just maybe some color on how these orders trended in May and June.
Surendralal Lanca Karsanbhai: Yes. We felt strongly about the mid-single-digit exit rate that we talked about at the beginning of the quarter. And there were some puts and takes as we went through in terms of timing speed, which you always have on some of the orders. You can see some of it slipped into July. Some of them might have been pulled for some just large capital bookings. What remains very consistent throughout the quarter was our MRO bookings. That -- there was really no fluctuation there and that gave us a really good basis. And then we had the capital fluctuations come in and out just based on timing.
Charles Stephen Tusa: Okay. And then just as we move into next year from a kind of software perspective, always tough to -- for us to model that. Is anything next year with regards to the comps at Aspen or anything like that from a growth perspective that we should keep in mind?
Ram R. Krishnan: No. I think from an Aspen perspective, certainly ACV continues in terms of high single-digit growth into double digits as some of the synergies come through. So nothing in terms of ACV from an Aspen perspective that is concerning. And then certainly, as it relates to our other businesses, the Process segment will remain pretty consistent at mid-single digits with recovering discrete.
Operator: Our next question is from the line of Andy Kaplowitz with Citi.
Andrew Alec Kaplowitz: Lal, just a little bit more on your core process and hybrid markets. I know you expected mid-single-digit order growth. That's what you got. If you look at the business or the end markets, you expect stability or maybe slight improvement moving forward. How do you get that? Is it all from power and LNG? And maybe you could talk about some of the weaker markets, what you're seeing like in chemical stabilization there, still getting weaker. How do you look at it?
Surendralal Lanca Karsanbhai: Yes. No, certainly, LNG, power generation, and life sciences will continue to fuel process hybrid on a forward basis here, given the visibility we currently have. And we feel very positive about the underlying drivers across all 3 of those. Chemicals is a mixed story. We actually are doing quite well in specialty chemicals. The bulk chemical story is negatively impacted in Europe and in China, and we just have a demand condition and an overcapacity condition that impacts those end markets. And so those are negative for us. But just about as I look forward into 2026. Certainly, I expect the momentum to continue as capacity is invested, not just to meet the energy security needs, but also to nationalize localized manufacturing of drugs and of course, the enormous expansion we have in generation and transmission distribution capacity.
Andrew Alec Kaplowitz: Got you. And then just back to Test & Measurement, I know, Lal, you've been working on sort of the commercialization of growth there. So maybe you can talk about how much of the improvement is the market, as you answered Jeff's question, but maybe just your own self-help and where you are in that process of improving the business. Obviously, you mentioned LabVIEW and the presentation is outperforming. So maybe you could talk about that as well.
Surendralal Lanca Karsanbhai: Yes. I will, and I'll let Ram jump in here as well. Look, so much work has been done, Andy, as you know, by this team led by Ram and Ritu Favre, and they've done an exceptional job resetting this company to address and to be a quick, more nimble responding to market opportunities. So certainly, we have seen market recovery, underlying market recovery, which fuels, but we believe that we're outperforming the market. And that is based on not just the reset of the commercial focus in the company, but also in the new products that we're bringing to market. And the example I highlighted with LabVIEW is a new generation, new incremental product in the marketplace. And I think that's going to make a big difference across the segments. Ram?
Ram R. Krishnan: Yes, you said it well. I think the focus on new products, I think, as Lal said, LabVIEW, the software suite, they're launching a new DAQ or a data acquisition product, which I think is a core capability that NI and NI customers were expecting. So I think that's going to be a net positive. But also on the commercial side, going back to the basics as it relates to country-specific growth plans. They have great exposure in many, many parts of the world and going back to the basics and developing go-to-market plans and growth initiatives. Simple things, but hugely important as the market recovers, where our management system deployed is helping NI grow faster than the market, and that's clearly evident in the pace of business we're seeing.
Operator: The next question is from the line of Scott Davis with Melius Research.
Scott Reed Davis: Let me talk a little bit about Ovation, if you don't mind. And just maybe some of this is just going to be reeducating us on kind of how this -- how you guys make money there. But when you talk about like orders up 40%. Is this all new projects? Is it a mix of retrofit new projects? How do you kind of guys think about what goes into a new -- does a retrofit go into a new order for example? And then I got a follow-up on that, too.
Surendralal Lanca Karsanbhai: Yes. No. Certainly, there are a couple of categories there. There is new projects -- new construction, I highlighted the Entergy combined cycle plans as an example. Those typically have long lead times. You book, you do the engineering work, construction begins, you start driving the automation in. There are extension of life implants. That's a -- we're seeing that in combined cycle and coal and in nuclear in the United States and Asia. And then largely -- and then lastly, there are modernizations where -- whether it's for cybersecurity purposes, AI purposes or other plants put in new control systems and upgrade Ovation. All 3 of those, Scott, as you know, are bookings, they all have different implications to the ship ratio given the time it takes to implement and build. Ram, any?
Ram R. Krishnan: Yes, you said it. I think traditionally, the power industry for us has been one of competitive displacement. As you know, greenfield opportunities have really picked up in the recent past. But over the years, we've owned this, it was a competitive displacement story. But what is certainly a net positive for us is the greenfield capacity investment in combined cycle happening in the U.S. to fuel the power needs for the data centers. But certainly, markets like China as well, there is a significant level of greenfield activity, and we're capitalizing on that with the technology position we have in Ovation. So all 3 aspects of the business: greenfield, modernizations as well as continued MRO and competitive displacement is fueling the order growth, which will convert to sales over the next couple of years.
Scott Reed Davis: Okay. And are those installs profitable? I mean, how do you -- is it more of a loss leader and then you make money over time on the subscription? Or do you make money on the install as well?
Ram R. Krishnan: We make money on the install. We make more money on the aftermarket. It's the standard formula we've described in the past. I mean, obviously, there's a margin delta between when we win the project, greenfield and modernization and then ongoing MRO is a very profitable revenue stream.
Operator: The next question is from the line of Joe O'Dea with Wells Fargo.
Joseph John O'Dea: Can you talk through Control Systems and Software a little bit. We saw really good organic growth there last quarter, this quarter, more in that kind of low mid-single-digit range. Just talk about kind of what you saw within Aspen and then Controls and how you're thinking about that growth into the fourth quarter?
Michael J. Baughman: Joe, I'll start this one. Yes. Remember, last quarter, we talked about the Total deal pulling into Q2, which would have been in Q3 and Aspen's -- Emerson Q3, their Q4 was traditionally their biggest. So we have that movement. But underlying Aspen ACV growth and continued revenue growth, very strong this year. And then the systems business continues to do very well in the mid-single digits and continues to see all the dynamics that Lal and Ram have talked about.
Ram R. Krishnan: Yes. Yes, I think you said it. I think overall, from a full year perspective, mid-single-digit growth plus in the systems and software business. But as Mike described, the lumpiness associated with how Aspen recognizes ASC 606 with the Total, for example, as well as project lumpiness and how we execute within systems and software will have variations from 1 quarter to the next. But overall, we feel very, very good about the high end of the 4% to 7% range for underlying growth in our systems and software business.
Joseph John O'Dea: Great. That's helpful. And then just a little bit more color on the discrete side of the business and kind of contrasting Test & Measurement with legacy discrete. You did see order acceleration there in Test & Measurement. It looks like discrete orders may be pacing more flattish. And so what you're seeing in the different demand trends there and your expectation for kind of legacy discrete recovery?
Surendralal Lanca Karsanbhai: I'll start off, and Ram can add some color. So there are 2 very important dimensions of the legacy discrete, Joe, that differ from Test & Measurement. The first is exposure to automotive and packaging businesses, particularly in Western Europe and China. And both of those markets continue to be relatively depressed and challenging and that certainly dampened the recovery there. Offset, of course, by some of the more traditional broad-based industrials which have impacted positively. But generally speaking, a much more muted. And you're right, slightly positive as they came out of the quarter, but significantly more muted than the broad-based applications and market exposures that the Test & Measurement business has.
Ram R. Krishnan: Yes. And I think the outsized market exposure for us in Europe, which has been the slowest market to recover for our traditional discrete business, our factory automation piece, versus test and measurement points to the disparity in the pace and amplitude of recovery. But as Lal described, I think the automotive segment and then factory automation as it relates to Europe and China have more muted recovery than many of the markets in Test & Measurement.
Operator: Our next question is from the line of Andrew Obin with Bank of America.
Andrew Burris Obin: Lal, just a broader question on your power vertical. You sort of enter the power cycle with sort of very material endowment in terms of market share, the Ovation orders up nicely. Clearly, the Aspen Grid business is doing very well. What do you think is a sustainable growth rate going forward? Can it stay elevated for the next, I don't know, 12 to 24 months, given what's happening in the power gen industry broadly?
Surendralal Lanca Karsanbhai: Yes. Thanks, Andrew. I'll comment and if Ram or Mike have something to add. I certainly believe it can based on the visibility we have of opportunity across both markets, generation and transmission distribution. And I think it's sustainable in the high teens kind of range over the next couple of years. As a matter of fact, we'll probably highlight this market. And when we all get together in New York City in November as a growth factor for the company because the dollar spend that we're seeing -- and it's not just a U.S. story, obviously, it is very meaningful and impact. And as Ram described, it's been a significant shift for this team, which had been, as you noted, it's a high participation rate company to begin with, but essentially grew over the last 20 years by driving competitive displacement. And now we've refocused the team really around project pursuit and expansion of market. And so we see that momentum. We're very close to our customers because of that very large participation in the business, and we are very optimistic about the next 24 months at high rates of growth. Ram?
Ram R. Krishnan: Yes. To add to that, our customer intimacy in this business is very high. And based on -- I mean, Bob Yeager, who runs this business, has great relationships with a lot of the major power companies here in the U.S. And certainly, I think their plans for continued investment in capacity expansion in combined cycle. And then certainly, the digital grid management space on the T&D side who supports an investment cycle that goes well beyond 2 years. Now obviously, you can't call well beyond 2 years. But certainly, for the next 2 years, we feel that the funnel is very, very strong on both sides, both generation as well as transmission and distribution. And so we expect these type of growth rates to continue.
Andrew Burris Obin: Excellent. And then just looking at where we are in the cycle, I think the narrative from a lot of companies back in the spring, early summer was that tariffs are really impacting the ability of companies to sign off on large projects. I think with 65% of U.S. trading partners sort of having some form of agreement with the U.S. How has the dialogue with your customers changed? Are you getting more visibility? What does the funnel look like? What's the likelihood of large projects actually being released into the calendar year and in early '26?
Ram R. Krishnan: Yes. So Andrew, Ram here. We haven't -- from our perspective, certainly in LNG, power of life sciences, which is the majority of our project funnel that we continue to drive, we have seen no slowdown in decision-making or approvals to move projects forward. So I think that's the most important data point. Now certainly in terms of some of the sustainability projects in our funnel, and that's not necessarily tariff related. We have seen some project cancellations that have impacted the overall size of our funnel, but not in a meaningful fashion. But the most important thing is where we see the growth in LNG, power, life sciences. And certainly, even in the U.S. chemical, petrochemical projects and all of the activity in the Middle East, no slowdown, and we continue to yield $350 million to $400 million of project wins a quarter from our $11.2 billion funnel that has been consistent with what we've experienced in the last several quarters.
Operator: The next question comes from the line of Nigel Coe with Wolfe Research.
Nigel Edward Coe: And the [indiscernible], this is not the chatbot. This is the real person.
Surendralal Lanca Karsanbhai: Yes, Nigel, we honored you with that.
Nigel Edward Coe: There you go. It's great. I hope it's got a British accent. Okay. So look, I think that when we -- you've talked about the order push out. So I just thought maybe we could just double click into sort of the second half order rates, it looks to be mid-singles. I think you pointed to high single-digit order rates in the second half of the year. So just wondering if you can maybe just double click into where you've seen some of the pushouts. I'm guessing some of the energy transition projects have either canceled or pushed out. And then maybe talk about the North American greenfields. Clearly, power and some of the other verticals you talked about, but I'm wondering, are we starting to see some of these reshoring announcements bearing fruit in terms of orders?
Surendralal Lanca Karsanbhai: Yes. So first of all, I did not talk about order pushouts, Nigel. That was not one of the elements that we experienced in the quarter. There are dynamics around timing of bookings. Some came earlier in the quarter. Some came in July, but we didn't see any dimension or pushouts on bookings on capital. And as I mentioned in the prior comments, the MRO activity and booking pace on MRO, which is, as you know, 62% of the business was very steady throughout the quarter. Ram, any comment -- why don't you comment on the greenfields?
Ram R. Krishnan: Yes. I think the greenfields in -- which is LNG greenfields, power greenfield, life sciences greenfield and even activity in chemical and ethylene and methanol continue to be positive for us in North America. So no pushouts, no slowdowns there. I think you may have picked up on the point. In terms of our funnel, we've seen some moves in sustainability and decarbonization projects in the funnel, but these are not in the quarter or near-term type projects. So that was maybe the commentary you picked up. But in terms of greenfield activity, we stay very, very positive on the movement of these projects in North America.
Nigel Edward Coe: Yes. Sorry about that, the chatbot gave me the wrong information. So moving on to the discrete automation, sort of the discrete and Test & Measurement outlook. Clearly, we're hitting some really deeply favorable comps here. So we've got a mathematical uplift on comps. But are we seeing a genuine increase in investment from your customers? That's the first part of my second question. And just maybe just touch on this FX pinch to margins. Do you think that's going to be a factor in 4Q as well?
Michael J. Baughman: I'll take the second part of that, Nigel. We are not planning for the FX pinch on margins in the fourth quarter.
Ram R. Krishnan: Yes. And in terms of the discrete markets, I mean, for us, obviously, the Test & Measurement growth rates certainly drove the majority of the discrete recovery in terms of momentum. And certainly, many markets within Test & Measurement is an inflection. For example, our largest single market is aerospace and defense. And that we'll see and as per the recent announcement, continued momentum in spending across the globe, certainly in Europe and North America, where we have the best presence. So certainly, that's an inflection. Semiconductors both RF and mixed signal, which is where we play, there'll be validation investment, R&D investment as well as capacity investment. And then the broad-based T&M recovery is more a sign of markets getting more confident about the pace of investments and our distributors and integrators restocking on NI. So -- now I would say many parts of our discrete market have inflection points and sustained recovery. But certainly, the ones we're watching are factory automation investments out of Germany and China where we haven't seen sustained inflection yet.
Operator: The next question is from the line of Deane Dray with RBC Capital Markets.
Deane Michael Dray: When we were at the Emerson Exchange in San Antonio, we saw that demo of Ovation AI? And can you just remind us, is this still in beta test? Has it been launched? And it was interesting, the first application, I guess, it's not surprising, is power gen. What's the plan for the rollout for other applications?
Surendralal Lanca Karsanbhai: Yes. No. I noted that on Slide 3, Deane, that Ovation Virtual Advisor has been launched, and it's integrated in Ovation 4.0. So that's not in the marketplace, and it's off to a very good looking start already. I give an example of Entergy which is building 2 combined cycle 754-megawatt power plants in Mississippi and Texas, and they're using the technology. So there's a really good customer adoption there already on that product that you saw as a demo.
Deane Michael Dray: Good to hear. And then in your Q this morning, there's a reference to the One Big Beautiful bill talking about the accelerated depreciation that you're saying it would not be a meaningful impact for Emerson. Can you just clarify, is that a reference to your own CapEx? And what about customer CapEx with all this reshoring, there could be some benefit there. Can you just clarify?
Michael J. Baughman: You are correct. That is a reference to ours. And you're also correct that it certainly could be a benefit to our customers as they think about CapEx. And just to expand on that a little bit, the provisions of the One Big Beautiful bill are generally favorable for Emerson, avoiding some downsides that were in the outlook as part of TCJA and changing some rates there, that will be helpful -- modestly helpful as we move forward.
Operator: Our final question is from the line of Nicole DeBlase with Deutsche Bank.
Nicole Sheree DeBlase: Just wanted to ask about the order outlook for 4Q. I think previously, it was up high singles. Now we're looking at 5% to 7% growth. Was that driven by a revision in the factory automation outlook? Can you guys just elaborate a bit there?
Surendralal Lanca Karsanbhai: No. Look, the process hybrid has remained very consistent for us in terms of outlook. We are still expecting that to exit in the mid- single digits as we were prior. Discrete recovery has been very, very encouraging as we went through the quarter and you saw in the call. So double-digit exit rate there still expected. And then safety productivity, there's some comps in there but lower single digits on that one. And so it's a mix of the different things, 5% to 7%, but it's -- I guess it's mid- to mid-single high. I don't not need to define it Nicole, but it still falls in that band of expectation that we have.
Nicole Sheree DeBlase: Okay. Understood. Yes, that's fair. And then just a follow up on the margin outlook for 4Q, I think you guys said about 27% EBITDA margins. Usually, margins stepped down a little bit sequentially in the fourth quarter. Is the divergence versus normal seasonality just driven by the moving pieces around tariffs?
Ram R. Krishnan: Yes. I think for us, in the fourth quarter, as of -- if you're talking versus Q3, the fact that we're holding at that 27%, clearly is an indication of tariff-related pricing getting more favorable in the fourth quarter versus the third quarter. We always planned it that way that we would implement the pricing actions in Q3. We have a little bit of a headwind as it relates to them fully offsetting tariffs, but then we'll get totally green, as we call it, into Q4 and hence, Q4 margin is very solid, up 80 basis points year-over-year and sequentially flat to Q3.
Operator: At this time, this will conclude our question-and-answer session and also conclude today's teleconference. You may disconnect your lines at this time. We thank you for your participation, and have a wonderful day.